Operator: Good morning, and welcome to the Park-Ohio’s Third Quarter 2013 Results Conference Call. At this time all participants are in a listen-only mode. After the presentation the company will conduct a question-and-answer session. Today’s conference is also being recorded. If you have any objections you may disconnect at this time. I will now turn the conference over to Mr. Edward Crawford, Chairman and CEO. Please proceed, Mr. Crawford.
Edward Crawford: Good morning, ladies and gentlemen, welcome to Park-Ohio’s third quarter 2013 results. Joining me today is Scott Emerick our CFO and Bob Vilsack, our Corporate Secretary and General Counsel. I’d like Scott, if you would cover the Safe Harbor Statement.
Scott Emerick: Thank you Ed. Good morning everyone and thank you for joining us today. If you’ve not received a copy of our earnings press release you can find it on the Investor Relations section of our corporate website at www.pkoh.com. I want to remind everybody that certain statements we make on today’s call both during opening remarks and during the question-and-answer session maybe forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from those projected. A list of relevant risks and uncertainties maybe found in the earnings press release as well as in the company’s 2012 10-K filed with the SEC on March 15, 2013. The company undertakes no obligation to update any forward-looking statements whether as a result of new information, future events or otherwise. Additionally, the company may discuss earnings as adjusted and EBITDA. Earnings as adjusted and EBITDA are not measures of performance under Generally Accepted Accounting Principles. For a reconciliation of net income from continuing operations to earnings as adjusted and for a reconciliation of net income attributable to Park-Ohio common shareholders to EBITDA, please refer to the company’s recent earnings release. Any references we make to earnings per share are on a fully diluted basis. Back to you Ed.
Edward Crawford: Thank you very much Scott. Normally Matt Crawford, the President of the company who would fill us in on the third quarter and year-to-date operating results, but he’s on an assignment in India with some of our new global customers. So, I’ve asked Scott Emerick, the CFO to review the third quarter and year-to-date and cover guidance. And then I will reappear and take each of the units and point out some of the exciting things that are happening with the company going forward and what we have achieved year-to-date. Scott?
Scott Emerick: Thank you, again Ed. Now let’s discuss our results for the third quarter. As you can see by our reported results we had a lag going on this quarter and just subsequent to quarter end. We sold a non-core business of our Supply Technologies segment and we sold a 25% equity interest to one of our Forging businesses and the Engineered Products segment. In addition, we were successful in completing one small bolt-on acquisition in our Engineered Products segment during the quarter. And we completed two other bolt-on acquisitions and our Supply Technologies segment early in the fourth quarter. And finally, we received some disappointing news related to an unfavorable court judgment associated with our Engineered Products segment. Before I get into the highlights on the results of the quarter, let me describe in more detail these unique transactions impacting the quarter. Ed, will speak to our fourth quarter acquisitions later in his comments. During the quarter, we sold a non-core business of the Supply Technologies segment for $8.5 million in cash, which resulted in a net gain after tax of approximately $4 million. The business is a provider of high-quality machine to machine information technology solutions, products and services. The proceeds of this sale were used to reduce some amounts outstanding on a revolving line of credit. Beginning with our three and nine month periods ended September 30, 2013 the results of this business and the associated gain on sale we’re reporting our financial statements as discontinued operation and prior periods have been adjusted accordingly to reflect this adjusted income statement classification. Our earnings from discontinued operations were $3.7 million or $0.30 per share for the third quarter of 2013. And our loss from discontinued operations was $700,000 or $0.06 per share for the third quarter of 2012. As a point of reference, this business generated net sales of $5.2 million through our date of ownership in 2013 and $5.8 million during the full year of 2012. In August of 2013, we entered into an agreement to sell a 25% interest in one of our Forging businesses and our Engineered Products segment to a strategic partner for $5 million in cash. This transaction facilitates the company’s capacity expansion in one of its growing product lines. The results of this Forging business continue to be consolidated in our results but the net income attributable to the non-controlling interest were 25% of this Forging businesses earnings is deducted from our consolidated net income to derive net income attributable to Park-Ohio common shareholders. Also, during the quarter we made an opportunistic acquisition of a small bolt-on pipe bending business with great synergies to our pipe threading equipment business and the Engineered Products segment. The small acquisition resulted in the recognition of a gain on acquisition of business of $600,000 or $0.03 per share. As we previously disclosed in our 10-K and 10-Q filings a subsidiary in our Engineered Products segment was a defendant in a lawsuit. Even though we believed we have a number of meritorious defendants and we vigorously defended the lawsuit. September 2013, the quarter awarded the customer damages of approximately $5.2 million. We have appealed the court’s decision but based on the court’s judgment we have expensed the $5.2 million or $0.27 per share in the third quarter. With the benefit of understanding these specific transactions, how they impacted our results, let’s summarize our U.S. GAAP earning and earnings as adjusted for the quarter. We reported net income attributable to Park-Ohio common shareholders of $12.2 million, or $0.99 per share, for the third quarter of 2013 compared to $10.7 million or $0.88 per share for the third quarter of 2012. This represented earnings per share improvement of 12.5%. Now, let’s focus on earnings as adjusted which was $0.93 per share for the third quarter of 2013 and $0.94 per share for the third quarter of 2012. Earnings as adjusted for 2013 of $0.93 per share is calculated by taking net income from our continuing operations of $0.71 per share which excludes the net income related to the sale and operating performance of the non-core business classified as discontinued operations and then deducting the net income attributable to non-controlling interest of $0.02 per share. And the gain on acquisition of business of $0.03 per share and then adding back the litigation judgment cost of $0.27 per share. As you can see after excluding the impacts, the sale of our business along with the nearly offsetting litigation judgment cost and the two smaller items our earnings as adjusted in the third quarter of 2013 are very comparable to the 2012 earnings as adjusted of $0.94 per share even though a couple of our business units were facing significant headwinds during the quarter. Furthermore, our EBITDA as defined increased 6% to $29.5 million in the third quarter of 2013 compared to $27.8 million in the third quarter of 2012. We will now cover a more detailed review of underlying performance and our consolidated results and core business segments. Net sales increased 6% in the third quarter to $304 million compared to $285 million in the prior year. The revenue increase is attributable to volume increases in the Assembly Components segment. On a sequential basis, revenues decreased 1% compared to the second quarter these economic sluggishness continued into the third quarter in some of our end markets. The gross profit margin percentage was 18.0% in the third quarter which is a 100 basis point reduction compared to the 19.0% gross profit margin in the third quarter of last year. This decline in gross margin percentage is largely due to a change in the sales mix between the comparable periods as the lower margin Assembly Components revenues were a higher percentage consolidated revenues than in the prior year. Consolidated SG&A expenses increased slightly to $31 million in 2013, however SG&A expenses as a percentage of net sales declined 50 basis points to 10.2% in 2013 as compared to 10.7% in 2012. Since our interest expense is $6.6 million was comparable between the two periods. Let’s turn to taxes, our effective tax rate for the third quarter of 2013 was 29.8%. This compared to the prior year effective tax rate of 34.1%, we now estimate our full year effective tax rate to be 33.7%. Now I’ll cover segment results. First, let’s review the Supply Technologies segment performance. Supply Technologies segment revenues represented 38% of consolidated revenues during the third quarter of 2013. Revenues were flat year-over-year at approximately $116 million. While we did see revenue growth in the automotive, semiconductor, consumer electronics, lawn and garden and agricultural and construction markets these gains were offset by the softness we continue to see in heavy-duty truck which decreased a 11% and defense which decreased 29%. We would like to highlight the strong diversification of our end market that allow for nearly a flat quarter year-over-year even when our largest market in the segment heavy-duty truck decreased a 11% year-over-year in the third quarter and 20% on a sequential basis with the second quarter. Despite flat revenues quarter-over-quarter, we increased segment operating income dollars 7% to $9.3 million and increase segment operating income margin 50 basis points to 8.0% in 2013. We realized good product and customer mix and we remain committed to strong expense management. Next, I will discuss the Assembly Components segment. Assembly Components revenues represented 35% of consolidated revenues. Net sales increased 26% to $106 million in the third quarter of 2013 compared to third quarter of 2012. Approximately half of the revenue increase is attributable to the Bates Acquisition that was completed in the second quarter of 2013. The other half of the revenue increase is primarily attributable to the organic growth in the aluminum business. On the strength of the new program launches secured in the aluminum business, aluminum revenues increased 34% compared to the prior year. Segment operating income grew $1.5 million to $7.6 million, which was a 25% improvement over the prior year. Segment operating income margins was 7.2% consistent with the prior year. We expect margins to improve in this segment as the new programs for the 2014 vehicles move pass their initial launch bases. Now, let’s move into a discussion of the Engineered Products segment. Engineered Products revenues represented 27% of consolidated revenues. Net sales decreased 4% to $81.5 million in the third quarter of 2013 compared to 2012. Our forging business demand continue to be very strong in the quarter as revenues increased 11% over the prior year led by our rail business. However, the industrial equipment business demand for original equipment continue to reflect weakness discussed in previous calls especially in the international markets. Based on our third quarter booking levels, we continue to expect a stronger fourth quarter in the capital equipment business as compared to the second and third quarters. Very importantly, we continue to realize steady after-market performance in the industrial equipment business. Segment operating income decreased 11% to $12.7 million, while segment operating income margin was still relatively strong at 15.6 %, unfavorable customer and project mix coupled with the impact of fixed cost spread over a lower base of volume in the Industrial Equipment business contributed to the reduction in segment operating income margin compared to 16.8% in the third quarter of 2012. Next, I would like to take a moment to highlight cash flows. Year-to-date operating cash flows are $37 million when compared to $43 million for the first nine months of 2012. Well our receivables did increase at quarter end for strong third quarter end sales, the quality of our receivables remains very good and we continue to be very diligent in our inventory management as well. In fact, for the nine months ended September 30th year-over-year, we have reduced our days of inventory on hand by five days. In addition, we generated $14 million of cash from investing activities as we sold the non-core business and in interest in our small forging business. Net capital expenditures were $17.3 million for the first nine months of 2013, the majority of our capital expenditures are earmarked for growth. We are still forecasting net capital spending for the year to total approximately $25 million with $14 million of this amount representing growth capital for aluminum equipment for the new program launches in the aluminum business of the Assembly Components segment. We expect depreciation and amortization to approximate $20 million. Overall, we are pleased with our third quarter performance given some of the headwinds in our business. At this time we would like to give you an update on our guidance for 2013. We are now forecasting full year consolidated revenues to increase approximately 8%. After considering our updated mix of business based on these expected revenue levels, we have narrowed the range of our earnings forecast. We are forecasting our earnings as adjusted to be in the range of $3.77 to $3.97 per share. Earnings as adjusted is comprised of our U.S. GAAP earnings described as earnings from continuing operations attributable to Park-Ohio common shareholders which is forecasted to be in the range of $3.53 to $3.73 per share. Then the $0.03 per share gain on the acquisition of a business is deducted from and the $0.27 per share litigation judgment cost is added back to our U.S. GAAP earnings range to derive their earnings as adjusted. As a reminder, the impact of the after tax gain on sale from the discontinued operation net of this sold businesses year-to-date operating performance are not included in earnings from continuing operations or earnings as adjusted. In addition, we are forecasting EBITDA as defined to be in the range of $121 million to $124.5 million for 2013. Before, I turn it back over to Ed, I want to update and highlight the transformational change Matt mentioned on the previous call given our recent acquisitions. As a result of our excellent growth in the last couple of years we are forecasting a reduction on our leverage position which will serve as a springboard as we continue our growth trajectory. As you may recall, between 2008 and 2010, our gross debt leverage hovered in the high 4s and the high 5s. As we have grown the business and its earnings power both organically and through a strategic acquisitions, we simultaneously have significantly reduced our leverage position. At the end of 2012, our gross to net debt leverage has fallen to 3.8 and 3.35 respectively and we are forecasting leverage at the end of 2013 to be 3.2 and 2.8 respectively. We are very proud of this achievement especially after completing several high quality bolt-on acquisitions this year and incurring above average growth CapEx. Thank you. Now I’ll turn the call back over to Ed.
Edward Crawford: Thanks, Scott. Very thoroughly appreciate it. I want to address again the overall operations year-to-date particularly in the company considering the – sometimes the wind that not being right at our back, I think we’ve navigated the year very well. And I think the results of the company are real picture of the balance portfolio of operating companies we have worldwide. We’ve talked about our customers, we talked about our touch points. And even with two of our largest divisions are silos semi technology fighting a dramatic reduction in the trucking business and defense along with other what we know historically in the capital equipment business it’s always about order, order, orders and vigorous to get out in the fourth quarter, historically this company is operated that way, we’re pretty much unlike. But again I think where we are today we’re at the end of the year is represented of diverse location and ability of the company has enough opportunities, had enough customers worldwide to continue making progress even when some of our strongest divisions were not performing as expected. Let me go little bit further in the Supply Technologies, I mentioned the trucking, and the trucking is down, it is our largest segment there when the trucking is down 20% and it’s been steadily there for the year although all reports indicate that upturn in 2014 on the trucking side, defense is still an open issue. But let’s please understand this – these two acquisitions in what I called the Euro zone, one in Ireland and one in England. We now have a platform of six locations and one of the criticism of our North American companies that want to do business with us in Europe is we did not have a platform, maybe we have one warehouse but that wasn’t enough for them to release all the production fasteners to us. So, with six platforms, low in trend sales force we really expect a lot of new sales organic growth by introducing our proven system of supply chain management in Europe. So, we needed this, we’ve been looking it for a long time, we’re able to find two strategic ones, the management these are profitable companies and the growth potential therefore our new to them our new way of running the factories in supply chain management is enormous. I am very, very happy with the prospects of Supply Tech, rebounding domestically with the trucking business coming back, were more important we have really picked up an excellent opportunity to put ourselves again in the Euro zone in a big way and the way it is acceptable and the response by our large North American customers has been really, really very, very positive. Moving on to – it doesn’t – it might not seem like much when we do a transaction and invite someone into take 25% or sell him 25% of our business in Arkansas which incidentally used especially forging business by the railroad industry. But our supplier of steel Sumitomo is the one that acquired that 25% and we negotiated this transactions for five years and we finally got it and this is going to be about the future is going to be about growth, it’s going to be their interest in expanding and selling more steel out of our facility in Arkansas, that’s a very, very positive, it’s small doesn’t show up a lot but again this is where we have lots of pockets where we can do very well make an awful lot of money, be strategic and in most cases be single source. This – I want to talk little bit about the Arkansas not soon but I want to talk about the $5.2 million hit earnings at ATM. And last year we had to engage – there has been three lawsuits in that business, over the last 10 years that I’ve been around the first one ended in a draw with no money exchange. We lost to as you know $13 million to the African company in a lawsuit which we settled which turns out to be a very good move. But at the same time right after that popped up this lawsuit and this was in Arkansas with another steel related company and we always felt that the South African problem was the fact that they bought the bought the equipment just before the steel industry really took a deep, deep dive. But this is when we shouldn’t have lost, we’re vigorously file the appeal virtually next day, there were like 15 charges against the company and then that ruled on one. So, we feel very good about our ability to do that but we have taken the hit. But I want to point out this is not a continuation of write-downs in this capital equipment business. And it’s important to think of it this way, this particular unit Engineered Products segment this is the one that’s averaged over $30 million EBIT a year for 10 years and this is an incredible company and but it’s not there is going to be a series of these things, it just seems to come together, it is a lot of money when you talk about 2013 I think we’ll give the five back. But I want to point out this is a very well-run company. We make a lot of capital equipment and there is not a history for this but two years in a row at least it got my attention so I wanted to explain it to everyone. So, it’s not we’re going to call every year we’re going to have a write-off in that particular business hopefully not. A word about the Assembly Components part of the business. We made an acquisition as you remember FRS the bates rubber company in Tennessee that’s exceeded what our expectation were at, they’re doing a fantastic job there. That part of the Assembly Components business as we’ve talked about is poised and ready to go with the GM contract in the China in 2016. And I believe we’ll comment that will fall with others. So, both sides of that business is really responding, I think it’s clear to say that the aluminum business finally has really launched in size. I think you’ll see very, very strong results going forward relative to sales and growth. There is no led up. And the need and switch in the auto and truck industries with F150 and the minivan all going to safety critical steering knuckles and we’re right in the sweet spot and we just received an order that starts at 2016 for a new 10-speed transmission. And transmissions, they don’t change transmissions, they are in the cars for 10 years. So, that seems to be going very well. So, generally speaking we’ve all talked about this in five targets. We have a meeting here in – last year August and we talked about the ability to grow the company to $2 billion by 2017, that required the company to grow on a run rate this year by a $141 million , next year is $165 million. We have and will achieve by year end the run rate of an increase of that 12%. So we are going to make the first boggy, considering we did not launch N5 until March. So and we feel very good about next year in maintaining the growth and of course with the growth we expect to increase the earnings. So we again feel year-to-date with a very unusual economy with things not being perfect across the board in the company. We continue to make the numbers, we continue to grow the company, we see no change in that and in 2014 we will be talking about that in the appropriate time. But we are on track; the company is doing what is necessary to in fact ensure the future. I want to point out that yesterday in our 10-Q the company posted an issue with the SEC and I’d ask Bob Vilsack, the Chief Legal Officer to explain that as much as he can because this is an ongoing discussion with the SEC. So Bob do you want to cover that.
Bob Vilsack: Thanks, Ed. I would only like to comment that the SEC and DOJ’s investigation is a non-public investigation focused on a third-party. As such we can’t speculate on the breadth or nature of the SEC and DOJ investigation nor can we speculate on the effect this matter may have or not have on the company’s financials. The company intend to corporate fully with the SEC and the DOJ in connection with their investigations of this third-party and at this time we cannot entertain any questions and I simply direct you to our disclosures in our Form 10-Q for the third quarter.
Edward Crawford: Thanks, Bob. And if anybody does not have access to the 10-Q you can ring us up and contact this year and we’ll be glad to send it over to you and have it so you can read it, it’s not in the release, it’s in the 10-Q where it’s appropriately placed there. Okay. Based on I think we’ve covered everything and I’m looking forward to answering any of your questions. So I’m going to open up the lines and thank you for joining us.
Operator: Thank you. Ladies and gentlemen, we will now be conducting our question-and-answer session. (Operator Instructions) Our first question is coming from the line of Ajay Kejriwal with FBR. Please proceed with your question.
Ajay Kejriwal – FBR: Thank you. Good morning gentlemen.
Edward Crawford: Ajay, how are you today?
Ajay Kejriwal – FBR: Good. Thank you. How are you?
Edward Crawford: Fine, thanks.
Ajay Kejriwal – FBR: So it’s good to see you made those acquisitions in Europe and Supply that obviously was an area that was a gap and now you have very nice location. So maybe talk a little bit about what that brings, does it get new customers, new Supply relationships, and then I know you touched on the opportunity to kind of leverage this organically but maybe elaborate that a little bit if you can whether new relationships could be expanded upon in terms of obviously you have a very strong position here in the U.S. Could you use that to get new customers in Europe?
Edward Crawford: Well thank you. Let me describe this way. When you have very, very large customers, people like [indiscernible] and Eaton and all these companies that you have relationships with. They are interested in taking the way the efficiencies and the real reduction in cost to the facilities in Eurozone, we pulled it on business last year and we lost a block, substantial block I think it was $21 million a year. One of our best customers in the basis that we did not have the facilities in the background and the organization over there to survive them and they are not going to turn over the production lines to us on the basis that we’re going to build the plant, okay or build the warehouse. So we’ve been looking and I mean we have been looking under every rock in Europe to get what we call thought it work established organizations, one trillion business 100 years, the other has been 21 years with new customers I don’t think there was one customer in each of these locations that we’ve been doing business before but they are especially bus manufacturers, there are a lot of customers that we should have and we start, these are winners from the first day. Ajay look at this thing I mean our bolt-on acquisition or investing in the new operating capital is a total cost to start. We are in these two companies at – for the sales ratio at lower than we would have, we just build on new accounts, okay. This is a terrific but we’ve got the identity now and we need it for India, we needed for Germany, we needed in a lot of locations. So we’re all over Asia as you know, North America and we’re going to do very well but we are starting and the one thing we realized and I think we all should realize that Europeans particularly want to do business with the Europeans and not then like the Americans but it’s a lot easier for the English and the Irish people roaming around Europe selling products, new idea and all these types. So I hope that answered the question but its positive.
Ajay Kejriwal – FBR: Yes. That’s very helpful. And that comment certainly resonates well on doing business locally. Maybe talk a little bit about the margins, our margins in that piece, those two businesses similar to segment margins, higher, lower, and then any color you can provide on valuation?
Edward Crawford: Scott?
Scott Emerick: Yeah, I think Ajay what you can say is that we should have comparable margins from these acquisitions was Supply Technologies when you blend the two businesses together.
Ajay Kejriwal – FBR: Good and the valuation.
Scott Emerick: The purchase price we did disclose in the Q little over $20 million in acquisition price. So it was funded with cash and some borrowings on the line of credit.
Ajay Kejriwal – FBR: Good. That’s helpful. And then the other interesting deal I thought was the forging piece that you sold 25% interest and sounds like the strategic, a strong strategic relationship. Maybe talk a little bit about what to expect that this help on the cost side, do you expect it to benefit top line at some point just a little bit more color on what that brings?
Edward Crawford: I’ve talked about that. I want to go back to the Eurozone or our effort over there. The cash we talked about came out of Europe I mean it wasn’t a money out of the American lines, okay. Is that, Ajay..
Ajay Kejriwal – FBR: Yep, yep, of course yeah that’s clear, yeah.
Edward Crawford: It wasn’t our line of credit; we use capital that was over there. As far as just relationship with [indiscernible], it’s 12, 13 years and we start the forging plant right next door to them and we dominate the frac plates as we talked about and shift parts of the railroad industry, they are interested in – it’s taken a long time for them to get comfortable with us. And they are interested in expanding that business. We are collectively working and identifying new customers which we require additional capital investment in equipment, but on the other hand we have a built-in lower cost, a substantially lower cost and anyway I was trying to do the same. So if we launch ourselves into a particular business their ranges didn’t dominating the business, so we have targeted one area that would make a lot of sense. And as you remember we make, we do have a company, we make our forging process and not only make forging process to do the type of forgings we are talking among you need induction heating equipment which is Ajax Magnethermic. So literally we can build our whole new forging line at a very reasonable cost expand where we are and as long as we were getting that discount on the steel substantial discount on the steel because they buy the scrap and they turn into low content iron and steel. So I’m looking for a lot here, it was a long time to get the relationship, we necessarily do not get excited about selling a piece of a company that is making money profitably but they pay the fair price and more important they are going to be a side-by-side partner in expansion because we have the technology, the access to the capital equipment at a discount and they have the steel and where we go they’re going to be or going to be at very difficult at the start. So you think you will be hearing a lot more about little Arkansas steel in the future.
Ajay Kejriwal – FBR: Excellent. And one more from me before I pass it on. Ed you mentioned the trucking market and obviously it’s been weak this year. Maybe just some sense of what your expectation, what you see from customers in terms of their rebound. Is it sometime early next year or is it an event beyond that, what’s your thought?
Edward Crawford: Well I kind of gave this thing, it seems like the after-marketing slowing down, there is an after-market content to our business and I understand a little bit. It’s clearly if I would say we’re going to get at least a 10% increase I don’t want to measure it in units, I want to measure it in the fact that I believe our revenues are going to, it’s not going to go back to where it was at the peak I mean in the trucking business at one time this is $50 million type area and it goes down substantially it hurts. But if we get half that back if it goes back to flat, if it goes back up, if it just increases 20% I’d be thrilled, okay. And the impact on – keep in mind we have to maintain all the supplies, all the people and everything else because when they rebound they runs for five years flat out and so we can’t close things. So we are carrying up burden, we are carrying a substantial burden because we’ve lost that revenue and the defense is down. But even losing that revenue and so forth we’ve done very well in Supply Technologies run a better company. And but this revenue we’re adding from the other side in the Eurozone and the trucking business comes back we are expecting this company to still perform, if we can get through this year as we have expected and I think we’ve raised our guidance in an old fashion way we are doing better than they even thought but we really believe that we’ve got all the pieces and it’s lying correctly and we’re going to have a – we’re going to make our N5 goal next year and even if we have to drag alone the trucking business.
Ajay Kejriwal – FBR: Good. That’s very helpful. Thanks much.
Edward Crawford: Okay. Thank you.
Operator: Thank you. The next question is coming from the line of Jay Harris with Axiom Capital. Please proceed with your question.
Jay Harris – Axiom Capital: I first like to say that I thought this call was if not the clearest and best call you’ve done as good as any other call either that or gotten all the wax out of my ears. But anyway..
Edward Crawford: We are trying Jay, we anticipate based on you and your questions and the wax in your ears.
Jay Harris – Axiom Capital: All right. Fair enough. Have you guys been able to characterize why we had so much weakness in the truck vertical market and well first that one?
Edward Crawford: Well the – in simple terms we do a lot in trucking business but our – the gold standard in the trucking business for our company is the logo down and its simple as they just not selling new trucks.
Jay Harris – Axiom Capital: Yeah, but I’m asking have you been able to characterize why the demand for new trucks left off, is it an intermodal competition with railroads or just that we went through in excess of building cycle and the – that we’ve excess truck capacity that had to be absorbed or was it a matter of truck driver availability. Have you been able to characterize any of that?
Edward Crawford: Well I have a friend in the trucking business. Number one, you point out something which is settled but very important average age of the truck drivers, the people aren’t actually driving the vehicles is moved up north of 50 years old, can’t think that’s old. But the question there is not of lot of young group coming in. And so more important – isn’t just enough freight I mean again everyone is saying what’s happening but I think it’s a driver combination. I think the trusts are lasting longer but it’s like anything else they last long but they still get old, they are getting older by the minute so it’s pent-up demand and my friend in the trucking business it would turn this fleet over every five years and now turning it over seven years. But the seven years catches up and then they get to turn it over. So I don’t think it’s one thing, it’s just the general economy, the trucks are made better but the – it is, it’s been a cycle business for many, many years and it will continue to be one and it’s one of its down cycles and when they come back it’s not the engine and it’s not the gas mileage, it’s just bad time for them, sometime you can sell air conditioners and sometimes you can’t, that’s what this, I don’t think it’s one is a blanket of things and that’s smart enough to figure out also I know we are down and the number one company in the country, it does say it’s down and I’m sure they work very hard to get up.
Jay Harris – Axiom Capital: Well that would suggest that over a period of time we ought to go back to where the former peak of activity was?
Edward Crawford: I think back there in past as I get – looking the numbers to me look like $10 million or $15 million in this business is nothing on the upside. So we will even do better. I mean it’s again we got all the fixed cost I mean it’s just we’ll get it and it will come and when it arrives it will even pushes even further. But let’s even think in terms of it staying at the level it is through 15, 14 that’s the extreme thought but that’s not the case, but if it starts up and let’s say in the fourth quarter of summer saying in the fourth quarter of 2014 we still have enough momentum than the other companies to wait for that maybe some will slow down its some are part of the division, that diversity of the company, this is what’s good about where we are.
Jay Harris – Axiom Capital: Turning to defense, is the decline – are we going to go through another year of decline in 2014?
Edward Crawford: We don’t know. The defense really from our viewpoint is not a big item, it’s not anywhere, it’s a small little item versus the trucking business. I only mention it because it’s symptomatic of what’s happening in a lot of areas, but the defense business if it stayed at the level it is we’d still be happy, we are talking about peak years but it’s not going to affect the performance of the company long term any slowdown in the defense industry.
Jay Harris – Axiom Capital: The last question has to do with tax rates. Should we expect because the U.S. economy is growing better than other industrial economies that your tax rate will rise somewhat next year?
Edward Crawford: I mean our current government is to increase taxes on the….
Jay Harris – Axiom Capital: No, no, just the – tax rates are reflection of the geographic distribution of what your earnings occur and I’m sorry, what you say Scott.
Scott Emerick: Jay what I would say is one we just targeted some international acquisitions that have territories in the UK and Ireland that have lower tax jurisdictions. So as we grow internationally there is going to be the potential to lower our overall effective tax rate. I can’t give you any specific guidance today.
Jay Harris – Axiom Capital: I understand.
Scott Emerick: On what our 2014 effective rate would be. I hope to be able to give that to you in March but I think if you just assume a consistent maybe slightly down rate might be a good way to thinking about it right now.
Jay Harris – Axiom Capital: All right, excellent. Thank you guys.
Edward Crawford: Thanks very much, Jay.
Operator: Thank you. Our final question is coming from the line of Steve Barger with KeyBanc Capital Markets. Please proceed with your question.
Tejas Patel – KeyBanc Capital Markets: Hey, good morning guys. This is actually Tejas filling in for Steve. How are you?
Edward Crawford: Tejas, great. You are using his [indiscernible] you are using here now or how do we handle this.
Tejas Patel – KeyBanc Capital Markets: Well he was supposed to be on, was not able to make it bad reception, but figured yeah that happen on him, but hey…
Edward Crawford: Let’s say we can do okay, let’s work…
Tejas Patel – KeyBanc Capital Markets: So yeah just a couple of quick ones, you guys did a very good job in the prepared remarks and a lot of the questions already being answered. But on the aluminum side do you anticipate continued increase in the revenue increases there into 4Q and into next year?
Edward Crawford: I expect to do more sales in 2014 than I did in – we did in 2013.
Tejas Patel – KeyBanc Capital Markets: Got it. And then just I guess a follow-up, I know…
Edward Crawford: I tell you and go I would say it’s reaching up because that’s a long way but everything stays away it is as you know the contracts that we are ramping up just are coming on board so 2014 is spoken for. So we have a very good idea where 2014 is going and quite frankly based on the new developments, the new things I think we 2016 and beyond is going to get perky I mean we have a natural limit in the sales we can do in our six facilities and but there are wonderful, wonderful ideas coming from international companies and others I mean we’ve been selected as someone that they clearly – our customers like us and there are European companies that would like to be in America and different technology than we are in. For example all the frames and the cars are currently iron, we’ve been talking about knuckles and calibers and transmission parts but the frame you could imagine how much steel is in the frames in Europe particularly in Italy they’ve already moved to aluminum frames, it require a die casting 35,000 ton machines that are bigger than this whole building and a lot of expertise and there are a number of people that would like to be in that business and being in America but they don’t want to go Greenfield so they got to find partners that have customers and anybody that can show up with new technology in the business within the business that we do not have and there is tremendous demand, there is a tremendous shortfall for a large die casting capacity in America. And so we are listening and we think if the company is going to add aluminum company is going to get bigger, it won’t be in the current products we are in because we’re going to go through that capacity and as soon as we are through that capacity which is very soon and if we want to grow we can advance ourselves by taking more of the current market but that’s subject to a change when the auto industry slows down, but the growth is in more aluminum in the car in areas that we are not in which is about technology and we’re not going to go there without a technology partner. But I’m trying to – this strategic arrangement with our friends at [indiscernible] I like the arrangement of having a side-by-side investor and the real investor in one quantity of another on board. So I kind of we are going to follow that and that’s and will be a topic at on the basis that it seems to me that we have some strategic value to a lot of people particularly in the aluminum and those parts of aluminum business I’d like to be in, our company like to be in but I don’t want to go develop the process, I don’t want to go develop the systems, I need a partner and they need us. So there is going to be hopefully in the future you get the right partner, they bring something to table other than money and you can do very well. So that’s what we are doing.
Tejas Patel – KeyBanc Capital Markets: Yeah, yeah, that’s a great color. Thank you for that. And then just moving on to Supply Tech, seems like a healthy increase year-over-year in margins. How much of that was one-time or is that just a permanent shift and you should think of that as the new level going forward?
Edward Crawford: Well the only thing I can say about our friends downstairs they run that division and be centralized we are I’m very proud of them, I hope couple of them are listening because they just ran a business that was a little under the weather from the standpoint of a couple of big sectors we are now, we just ran a better company, okay, I mean it’s that simple. But the answer is they are not also investing in – we didn’t get the organic growth we are looking at, if we had the organic growth we’d have to come up with more money so what you are not seeing is the fact that if we had to return another $50 million in sales which I hope we would have we’d have to put in the working capital. And as you know its four months to get out of from the working capital into the return, so there is – that’s part of that. If I’m saying here there is a rollout of this business that is very expensive, new business. Now when acquire a company is in England, Ireland your own business that next day at a profit that’s obviously accretive also we wouldn’t do it.
Tejas Patel – KeyBanc Capital Markets: Got it. And then I guess a follow-up for Supply Tech, what’s the new business pipeline looking like or it’s just the quoting activity and then if you could talk about international versus domestic?
Edward Crawford: In the pipeline business..
Tejas Patel – KeyBanc Capital Markets: No, on the Supply Tech side you might have customers coming to you and you are potentially quoting them on new business?
Edward Crawford: Well Supply Technologies I mean let’s start with something very interesting. This is my first comment on this. As you’ve heard me over the year talk about the efficiency and I always thought that Supply Technologies with our systems on a scale of one to 10 in the management of the business for 10s or 12s. And I’ve been little frustrated with the overall marketing efforts on the global international and domestic basis. But there has been dramatic shift in the company in the last 90 days. Of the top three people as you would be responsible for marketing and sales of the top three, two have been replaced and the top person has been replaced. And the top person was just replaced by someone that’s been in the industry with our completion for some 17 years because of where we are, we are getting a real look at some of the top people in that business and customers that are starting to – there are large companies and they don’t feel there has been an investment, they don’t feel they are a growth company. So we’re muscling up on the sales side of the business and with all this come last reporting so there again I’m very excited about it. So I think we’re going to see for the first time as they move to a marketing and sales orientation that is we never had before. And they’re going to drive for example in Europe in the Eurozone the whole new ball game over there. So I’m excited about the fact that we are – we have a system, we have a way, it’s very important to manufacturing and we’re going to get out there and sell a little bit more. I’m spending a little more time as you know in the field talking about that and that’s some of the exciting things for 2014, 2015 and 2016.
Tejas Patel – KeyBanc Capital Markets: Yeah, yeah, that’s a great color kind of over time, so I’ll just follow-up with the others I had, but great quarter and looking forward to your next quarter.
Edward Crawford: Okay, great. Thank you very much. Look we’re going to have to wrap this up today. Again we’re moving ahead. We have a distraction and we have distractions of positive things but the number said is the companies moving forward year-over-year. We’re pleased with our N5 prospects, we talked about making a serious investment in this and actually for the first time if anybody really knows me I did a video with my son Matthew on our N5 and distributed to the 160 people were at the sales conference in August okay and in March. So we’re going to get a little more invested in the marketing and telling the story about the company. We think we have the pieces for the future, we can do a lot of bolt-ons. So we’re in a good position, it’s a lot of hard work but the prospects are great. So I want to thank you all the investors and the interested parties, all the stakeholders in the company. And I look forward to seeing you in this spring with more positive thoughts on where we are going and what will be at that time. Again thank you very much and have a nice day.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time and thank you for your participation.